Operator: Thank you for standing by. Good morning, and welcome to Titanium Transportation Group Q1 2025 Conference Call. On today's call, we have Ted Daniel, President and Chief Executive Officer; Alex Fu, Chief Financial Officer; and Marilyn Daniel, Chief Operating Officer. Before we begin, I would like to remind everyone that certain statements made on this call today may be forward-looking. In that regard, please refer to the risk factors and cautionary provisions outlined in the press release issued by the company yesterday as well as the filings made by Titanium on SEDAR. Please note that this call is being recorded today, Wednesday, May 14, 2025. A replay of this call will be made available until midnight on May 26, 2025. The details of the replay can be found on Titanium's website under the Investors section. I would now like to turn the call over to Titanium's President and CEO, Ted Daniel. Please go ahead, sir.
Ted Daniel: Good morning. Thank you, operator, and thank you, all, for joining us. Titanium for Q1 2025 delivered solid momentum and disciplined execution despite the seemingly never-ending freight recession and chaos of tariffs that were implemented and then retracted or adjusted, creating customer uncertainty. Titanium was able to deliver a 7.5% year-over-year consolidated revenue growth in the first quarter. This performance reflects our continued focus on things we can control like operating efficiencies, prudent capital management, strong customer value-added service and tech integrations as well as the adoption of AI-inspired initiatives. In addition, we continue to see value in our safety and security protocols. On a consolidated basis, the 7.5% growth for Q1 generated $121.4 million in revenue and an $8.8 million EBITDA, a margin of 8.2%. Both our Canadian and U.S. Logistics segments were a key driver of this growth with revenue up more than 17% year-over-year. The company's asset-light, high ROIC logistics model continues to scale effectively, supported by our continued tech developments and customer integrations as well as the successful expansion of our U.S. freight brokerage network. The new offices that we announced in 2024 and during the first quarter of 2025 are already demonstrating promising early returns. And we're encouraged by the strong customer uptake in those regions. In Q1, our brokerage asset-light segment now represents over 54% of our top line revenue, demonstrating our commitment to growing our asset-light, high ROIC and high free cash flow conversion division. Another way of looking at Titanium is that we have become a transportation company that is now less than half asset-based. As we continue with this focus, I note that today, only about half our trucks are company-owned, further demonstrating our shift to a more asset-light model in our Trucking segment, helping to delever our balance sheet. During Q1, we also maintained a disciplined approach to capital allocation, reducing debt by $10.7 million in the quarter and allocating proceeds from redundant asset divestitures to pay down debt and strengthen our balance sheet. As a result, cash flow from operating activities more than doubled to $15 million and cash on hand increased by $14 million during the quarter, underscoring our focus on disciplined execution and strong cash flow generation. While the economic situation remains uncertain and the freight industry remains in a recessive state, we see the company's results against this backdrop as a statement to our resilient team. Now turning to our segmented results. The Trucking segment delivered revenue of $56.1 million in Q1. EBITDA came in at $6.6 million with an EBITDA margin of 13.3%. Logistics continued to drive growth during the first quarter of the year, generating revenue of $66.1 million, an increase of 17.6% when compared to the same quarter last year, with EBITDA coming in at $3.3 million and EBITDA margins for this segment during the quarter were 5.6%. While profitability over the period was impacted due to competitive contract rates and increased costs, we continue to be pleased with the strong consistent volume growth in this segment and have been focused on scaling this asset-light segment as we prepare for an inevitable improvement in market conditions, with particular focus on the U.S. freight brokerage market. During Q1 2025, we added our newest logistics office in the U.S. in Dallas, Texas, further strengthening our footprint in the U.S. market. Growing our U.S.-based brokerage remains a key driver of Titanium's next stage of growth. Our asset-light model provides the flexibility to navigate potential disruptions while reinforcing our financial position amid challenges such as tariffs, fuel costs and market uncertainty. Our model allows growth in both domestic U.S.A. and Canada as well as cross-border opportunities. While macro uncertainty persists, including tariff-related risks and global trade tensions, Titanium remains well insulated. Approximately 2/3 of our total volume is domestic and not directly exposed to cross-border or tariff-related disruptions. That said, we remain vigilant. Prolonged trade disputes could temporarily increase economic uncertainty, contribute to inflationary pressures and eventually affect border supply chains. To mitigate these risks, we're closely monitoring global trade developments and remain agile in our operational planning. Our team is ready to respond to shifting customer needs and market dynamics to maintain service continuity and operational stability. Our commitment to technology, solutions and adoption of AI enhancements allows us to progress as market conditions improve and opportunities for growth present themselves. In closing, let me say this with absolute confidence, Titanium's fundamentals are strong, and our team is executing with discipline and purpose. Despite near-term industry challenges, we're confident in Titanium's ability to scale effectively, strengthen operational resilience and seize new opportunities. As the industry stabilizes, our diversified services, operational efficiencies and strategic growth initiatives will ensure we remain competitive and well positioned for long-term success. Amid ongoing macroeconomic uncertainty, freight market volatility and an unpredictable tariff backdrop, we'll continue to withhold formal guidance at this time. Understandably, during these unpredictable times, we remain focused on fundamentals of the business and prioritizing operational execution, margin preservation and free cash flow generation. When the cycle turns, Titanium will be in an even better position with a lean, more asset-light cost structure, a strengthened balance sheet and a broader, more diversified business model, both within the U.S. and Canada as well as cross-border. And with that, I'll turn it over to my trusted CFO sitting next to me here, Alex, for a more detailed discussion of our financial results for the quarter. Alex, take it away.
Alex Fu: Thanks, Ted. In the first quarter of 2025, on a consolidated basis, Titanium generated revenue of $121.4 million compared to $112.9 million in Q1 of 2024, a growth of 7.5% year-over-year. We delivered EBITDA of $8.8 million with an EBITDA margin of 8.2%. Diving deeper into segment performances. The Truck Transportation segment generated revenue of $56.1 million in Q1 2025 with EBITDA of $6.6 million and an EBITDA margin of 13.3%. Our focus on operating efficiencies led to some revenue trade-offs, but delivered improvements in our overall cost management. Turning to Logistics. As Ted noted, the segment continued to face pricing headwinds, but delivered strong performance with a solid volume growth of 9% year-over-year. During Q1, Logistics generated revenue of $66.1 million, up 17.6% compared to Q1 2024, with EBITDA coming in at $3.3 million, a growth of 8.1% year-over-year with EBITDA margins of 5.6%. We are encouraged by the continued organic growth of this segment and remain focused on our asset-light business model. In addition to navigating the challenging economic environment, we continue to prioritize strengthening our balance sheet. As part of our shift to a more asset-light model, we strategically divested noncore assets, including older equipment and underutilized properties, generating $1.7 million in proceeds. These proceeds were applied towards debt reduction. Subsequent to quarter end, we have conditionally sold our North Bay property, and we expect the sale to be completed prior to the end of Q2. This liquidity, in addition to our ongoing operational efficiency, enabled us to pay down $10.7 million in company debt and acquisition loans during the quarter, contributing to an improvement in our net debt-to-equity ratio to 1.86 from two at year-end 2024. These deleveraging efforts remain a cornerstone of our financial strategy, enhancing both resilience and optionality as markets begin to recover. Building on Ted's comments earlier, our disciplined capital allocation approach is yielding results. Cash flow from operating activities more than doubled to $15 million compared to $6.2 million in Q1 2024 and cash on hand increased by $14 million during the quarter. Combining strong cash flow from operations with limited CapEx during 2025 and 2026, we expect to generate substantial free cash flow. Prioritizing debt reduction and focusing on cash flow generation not only lowers our interest burden, but also position us well to reinvest in high-growth logistics opportunities as demand strengthens. Early in the quarter, we announced a temporary suspension of our dividend to maintain financial discipline and prioritize prudent capital allocation. We will continue to review the company's budget, cash flow forecast, growth opportunities and market conditions on a quarterly basis to determine when dividends can be declared in future quarters. As we navigate the remainder of 2025, we remain committed to continuing our disciplined capital allocation strategy, ensuring our financial position is strengthened and poised for long-term success. I would now like to turn the call back over to Ted.
Ted Daniel: Thank you, Alex. Although market visibility remains limited, we are starting to see some signs of stabilization and opportunities in selected regional markets. Particularly within our logistics operations, further substantiated by the recent announcement of the de-escalation of tariffs between the two largest economies in the world. Industry trends suggest that freight may have reached a cyclical trough, but any recovery will likely be gradual and a little uneven. In this environment, maintaining focus, operational agility and financial discipline is essential. Titanium continues to execute with this mindset. Our asset-light model supported by disciplined capital allocation and a strong U.S. logistics presence continues to differentiate us in a tough market. We remain committed to leveraging our cash flow to reduce debt while selectively investing in high-return opportunities aligned with our long-term strategy. As I outlined in our last call, the broader macroeconomic environment remains fluid, particularly on the trade front, but the essential role the trucking plays in North American supply chains remains unchanged. Should customers begin to pivot toward domestic freight or temporarily onshoring in response to evolving trade dynamics, both our Truck Transportation and Logistics divisions are well positioned to respond. We believe these conditions will ultimately create opportunity for agile, well-capitalized operators like Titanium. By staying focused on customer service productivity and cash flow generation, we are positioning the business to emerge stronger as market conditions normalize, driving long-term value for our shareholders. With that, I'll turn it over to the operator to open the line for Q&A.
Operator: [Operator Instructions] And your first question comes from the line of David Ocampo with Cormark Securities.
David Ocampo: It was nice to see an increase in both volumes and pricing and logistics. But it did surprise me that margin's compressed and it's sitting kind of well below the 8% margins on an EBITDA basis that the division is more or less used to. I was hoping, either Ted or Alex, if you can walk us through some of the costs that may be elevated at this stage and what your expectation is for margins for at least the balance of the year? Is it kind of stuck in status quo here at these current levels?
Alex Fu: Well, thanks, David. Typically, Q1 is a weaker quarter than the rest. We're starting to see a little more normal seasonality in 2025, hopefully, for a longer time. It's been crazy last few years. So -- and for Q1, especially, we have had some really weird and severe weather conditions that have driven the market to some extremes. So in both January and February, we saw margin compression that's beyond what anyone expected. So that's where the majority of the margin compression comes from. We saw better in March, and we expect that the rest of the year will demonstrate normal seasonality. So we expect that to improve for the balance of the year. Is it going to get to the 9%? I think in terms of the logistics market, we're not quite there. Maybe with the recovery, if it does come, then we'll see the 9%, but we do expect to see improvement over the next few quarters. And I will pass it off to Marilyn for additional comments.
Marilyn Daniel: Thanks, Alex. I think you covered most of the thoughts that I was going to add to it. Weather did have a big impact in the first quarter, along with the noise of the recent U.S. election and the effects of the noise of the tariffs even before they hit. So there was a lot of up and down in the months of January and February as the quarter started. So I think coupled together, that was a big impact on margins that may be a little bit more unique to the first quarter.
Ted Daniel: Yes. I want to comment. I remember getting pictures in January and February of snow that literally shut down Georgia. So it was absolutely unbelievable to see snow in the Southeast, which was kind of funny because they don't have any snow plough equipment. So they just shut down everything.
David Ocampo: Right. Yes. I guess that makes a lot of sense, weather conditions, does have a margins. Ted, I think I heard correctly that 50% of your trucks right now are company-owned, 50% owner-operated. Is that in the truck transport -- I'm guessing that's the Truck Transportation division? And then what do you guys think the right level is going forward? Should we still continue to see a shift towards more asset-light on the truckload side?
Ted Daniel: Yes. So right now, we're approximately 50%-50% on our, call it, asset division. So again, top line, we are 54% a broker and only 46% an asset heavy-asset medium division. But on the 50%-50% side, yes, so because of the leveraging and the fact that the rating and the trucking industry tends to be a very low ROIC division, obviously, yes, it's a lot easier to have a more owner-operator-centric model. It doesn't mean that we're going to shrink the company truck side necessarily at this point in time. In fact, most of our trucks at this point in time are seated and are rather busy. So we're kind of happy about that. But growth -- on the trucking side, be it probably somewhat limited because it's real estate on wheels. It's a very, very slow growth process. Would be better to do owner-operator because it's not on your balance sheet, right? So it's just a better financial model.
David Ocampo: Okay. That's helpful there. And then maybe, Alex, I just wanted to dive into the free cash flow for the quarter. It seems like there was a pretty sizable reduction in working capital, and it was mostly on the AP side. I was wondering if we should expect a reversal throughout the year? Or are you just getting better terms from some of your customers?
Alex Fu: I would expect reversal throughout the year. We do work closely with our vendors, but we don't plan on pushing our vendors because we believe ourselves to be in good, solid capital position already. This is more a reflection of timing and whatnot.
David Ocampo: Got you. And then last one, just on CapEx because you called it out minimal spending for '25 and '26. Do you guys have a number for '25 and '26? I imagine you guys are pausing all tractor and trailer orders or deferring it as much as you can.
Ted Daniel: So in '25, we're looking at really a, call it, almost an immaterial number. I mean, if we need five trucks for a particular circumstance that perhaps we're working on a certain customer contract or something along those lines, that -- I mean it may or may not be necessary. But let's just say '25 is for all intents and purposes 0 and '26 would be a minimal amount depending on growth opportunities. So really, I would consider both '25 and '26, given how young our fleet is, would be immaterial. I wouldn't want to say zero, but I would definitely call it virtually an immaterial amount.
David Ocampo: I guess a bigger question there is what's the true maintenance level for your current level of fleet, whether it's tractors or trailers in a more normal year without any --
Ted Daniel: So you're talking maintenance CapEx, Yes. So we're kind of -- Alex is going to take most of this question. I'm going to say that we're kind of working through some adjustments at this point in time in terms of the type of split that we want between our asset-light, asset-medium and asset-heavy divisions. So I'll let him dive deeper into that.
Alex Fu: So with that qualifier, at this current moment, our replacement CapEx is about $20 million to $25 million per year, replacing some of our trucks on schedule and replacing our trailers. Of course, with the COVID and post-COVID craziness, we have pushed that schedule ahead of time. That's why in '25 and '26, we don't have any. But going into maybe the tail end of '26 and maybe '27, we'll probably start to see some replacement back to normal.
Operator: [Operator Instructions] Your next question comes from the line of Gianluca Tucci with Haywood Securities.
Gianluca Tucci: Just at a high level, Ted, with this 90-day hiatus on reciprocal tariffs, do you expect an inventory restocking cycle to be accelerated in this window? Just wondering how your customers are thinking about this opportunity over the next 90 days?
Ted Daniel: We -- so I'm going to kind of back into that answer, if you don't mind. I'm going to say that Titanium has a lot of CPG. So I think cleverly, you've also asked what does Q2 look like. So I think that because we're more of a rather CPG consumables necessities type during the recession -- or not recession, during the pandemic, I was saying we're pandemic-proof. People need a lot of what we ship just to live day-to-day, which kind of makes us resilient. And then after that it was more recession proof and so on. So I mean, yes, there's fluctuations within that. But I'm going to say that our customer base and the diversification that we have, in particular, we're not going to see as much of a fluctuation. Perhaps there might be certain circumstances where yes, but I can't speak for the rest of the industry. I just know that Titanium in this particular case is rather resilient. And other than the fact that the weather was so severe and so horrible in January and February and was so impactful for us, we're not really seeing a huge difference between March and April. So I don't know if what's happening right now geopolitically is really going to have as much of an impact on us either. So just so that you know, actually, I'm going to just deliberately send this over to Marilyn right now to add some comments because she's actually in Chicago, so -- at our Chicago brokerage. Yes. Where the weather is better there right now, I hear.
Marilyn Daniel: It's pretty warm, but it might be -- it looks like it's going to rain. But in any case, I just want to add to that, that our customers, like so many are also uncertain in terms of where the times are. And none of them have halted their business. They are careful with how they're moving their freight at the moment and the volumes of it because, as you know, every day is a little different and every week is drastically different. So everyone is a little uncertain of timing, and there's certainly an element of chaos. So we're not seeing -- our customers are continuing largely, or cautiously rather on a version of normal. I hope that helps.
Gianluca Tucci: Okay. And I guess, Marilyn, just on the Crane side of things, like in your planning for that business, how do you think about expansion plans or adding to the fleet, shrinking the fleet, adding customers? Or like in this crazy environment we have, how do you go about planning for the next few years of Crane and expanding that business?
Marilyn Daniel: Well, we definitely believe in the asset model we added into the U.S. for allowing us to put boots on the ground or trucks on the road in the U.S. and the effect it will have on our brokerage services and our overall transportation services. We're not looking to shrink that fleet. We are definitely looking to be steady as it goes. And then as the markets turn, we're ready to expand on that program. But again, we are still focusing on our asset-light model even within the [ transport ] -- even within the Trucking segment rather, on more of an asset-light model for growth there. In terms of how do we navigate through this, that's where sort of our strength in teams, our tech and our operation and sales strength that we have. Hard to see it in these times, but it's still there. We continue to be offensive in our sales strategies. And I am happy to say that although these are struggling times and the results aren't where we would like them to be, we're actually growing on our customer bandwidth, adding new business as we go in this marketplace where you do see some stability or retraction or just uncertainty. Our offense is growing business, adding new business, adding new customers and so on.
Gianluca Tucci: That's helpful. And then just one final one, perhaps for Ted and Alex. Good continued growth in asset-light. Can you give us an update on your road map there near term? And if you think about the company out five years from now, how big as a percentage of sales are you aspiring logistics to be?
Ted Daniel: Yes. So we definitely expect logistics to be a much larger -- over the next few years, a much larger division only as a matter of capital practicality, right? It's a much, much higher ROIC business. And it's a lot more agile. And with our digital capability and our technological platforms, it's very scalable. So from that perspective, we certainly expect it to grow, relatively speaking on a much, much faster level. Trucking is a lot harder to grow because it is very, very taxing on your balance sheet. So we have to be mindful of that, and that does cut into shareholder value. And so we're obviously going to be extremely careful and definitely very conservative in the future on the amount of leveraging that we've got versus the -- what we expect to be exponential growth in our asset-light divisions and locations.
Alex Fu: And to add to that -- and to add to that, we have -- the last 3 offices that we opened are still relatively young. So while I can't speak to a longer term. Near term, these 3 offices needs to get up and running to the -- to our target average mark about $20 million, $25 million per office. So in the near term, we can see at least that growth from our Logistics division as also our Canadian offices gets to where it needs to be. So there's a couple of offices that are not at maturity. And then past that, then it's -- then we really are looking at the expansion of our current offices. And that depends on our customers at the time. We'll see where we will end up. Yes, we…
Ted Daniel: Sorry. We're going to use our tech, right, to keep growing our brokerages. And of course, the people behind the tech to continue to execute on all that.
Gianluca Tucci: So like I just want to confirm the road map for this year, no more offices on the brokerage side for now?
Ted Daniel: No. We're going to get the Virginia and the Texas offices going. They're essentially done. We're just -- as we speak, we're currently installing our technology. And we've got the managers -- they're actually -- they've been at it chomping it a bit. So yes, they're ready to go to get going.
Operator: We have no further questions at this time. I would like to turn it back to Mr. Ted Daniel for closing remarks.
Ted Daniel: Okay. Sounds good. Thank you very much, and thank you, all. for joining us today. We appreciate your interest in our company. I look forward to providing an update on our progress and all of our priorities as discussed today when we report our Q2 results in August. If there are any further questions, please feel free to contact us. Thank you again for joining us today on the call.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.